Operator: Good day, and thank you for standing by. Welcome to the Second Quarter 2025 Generac Holdings, Inc. Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Kris Rosemann, Director of Corporate Finance and Investor Relations. Please go ahead.
Kris Rosemann: Good morning, and welcome to our second quarter 2025 earnings call. I'd like to thank everyone for joining us this morning. With me today is Aaron Jagdfeld, President and Chief Executive Officer; and York Ragen, Chief Financial Officer. We will begin our call today by commenting on forward-looking statements. Certain statements made during this presentation as well as other information provided from time to time by Generac or its employees may contain forward-looking statements and involve risks and uncertainties that could cause actual results to differ materially from those in these forward-looking statements. Please see our earnings release or SEC filings for a list of words or expressions that identify such statements and the associated risk factors. In addition, we will make reference to certain non-GAAP measures during today's call. Additional information regarding these measures, including reconciliation to comparable U.S. GAAP measures, is available in our earnings release and SEC filings. I will now turn the call over to Aaron.
Aaron P. Jagdfeld: Thanks, Kris. Good morning, everyone, and thank you for joining us today. Our second quarter results exceeded our expectations, driven primarily by C&I product sales to our industrial distributors as well as increased shipments of residential energy storage systems. Additionally, adjusted EBITDA margins came in well ahead of our prior forecast for the as a result of continued strong gross margin performance and better-than-expected operating leverage on the higher shipment volumes. On a year-over-year basis, overall net sales increased 6% to $1.06 billion for the quarter. Residential product sales increased 7% from the prior year, driven by significant growth in shipments of residential energy technology solutions as well as higher portable generator sales. C&I product sales increased 5% year-over-year with increases in shipments to our domestic industrial distributor and telecom channels as well as higher European shipments, partially offset by softness in certain other C&I end markets. Favorable price realization helped gross margins expand by 170 basis points in the quarter, resulting in adjusted EBITDA margins increasing to nearly 18%. We also continue to execute on numerous new product development initiatives during the quarter, most notably the formal introduction of our large megawatt generators for data centers and other C&I backup power applications. We have experienced very strong receptivity to our initial entry into the data center market in particular, with our global backlog for products serving this important end market growing quickly and now standing at more than $150 million today. Given increased visibility into our full year 2025 financial results, including our second quarter outperformance and lower than previously anticipated tariff-related price increases in the second half, we are narrowing our full year net sales growth assumption and increasing the low end of our adjusted EBITDA margin guidance range, resulting in an increase to our full year adjusted EBITDA outlook at the midpoint of these ranges. This guidance assumes that currently implemented tariff levels are maintained for the remainder of the year. We will continue to optimize our pricing strategy within the evolving tariff landscape while aiming to fully offset the cost of tariffs in dollar terms. Additionally, we are executing on a number of supply chain and cost reduction initiatives that will help to further offset the impact of tariffs and other cost increases over the next several quarters. Now discussing our second quarter results in more detail. Home standby sales were flat from the prior year as the category held a new and higher baseline level of demand despite power outage hours being down significantly as compared to a strong prior year period. As expected with lower outages, home consultations decreased on a year-over-year basis given the strong comparable period that included the benefit of severe storms in the South Central region last year. However, home consultations outside of this region were up nicely from the prior year, highlighted by continued strength in the Southeast resulting from last year's high-profile outage events. Close rates improved sequentially in the second quarter, and we continue to expect further improvement as we move through the remainder of the year with strong signs of recovery here in the month of July. Importantly, activations or installations of home standby generators increased modestly from the prior year, also driven by the strength in the Southeast region. We ended the second quarter with roughly 9,300 industrial dealers in our network, an increase of approximately 400 over the prior year. Our growing dealer network is an important competitive advantage and continues to support a new and higher baseline of consumer awareness for the home standby category, and we remain committed to investing heavily in growing and developing our dealer base. Additionally, we have had continued success in expanding our aligned contractor program, which targets electrical contractors that purchase our products through wholesale distribution and drives incremental engagement and training within this important distribution channel. Collectively, these efforts represent a critical element of unlocking the growth potential for the home standby category by expanding our sales, installation and service bandwidth. Additionally, we continue to work towards the upcoming launch of our next-generation home standby generator line, representing the most comprehensive platform update for the product category in more than a decade. In addition to the introduction of the market's first 28-kilowatt air cooled generator, the new home standby generator line features a lower total cost of ownership, lower installation and maintenance costs as well as quieter operation and improved fuel efficiency. The new platform also offers a number of benefits for our channel partners, including lower commissioning times and improved remote diagnostics, enabling operational efficiencies for their businesses and greater uptime and cost savings for their customers. Portable generator sales increased at a robust rate from the prior year despite the year-over-year decline in outage activity. This growth was primarily due to market share gains resulting from our team's success in driving increased shelf space with key retail partners. While we expect these recent wins to support greater baseline demand for these products going forward, the second half of 2025 will face a challenging comparison to the prior year as our guidance does not assume any major outage events in the second half of 2025. Moving to Residential Energy Technology Solutions. Shipments for these products and services exceeded our expectations and grew at a significant rate during the quarter. Our team continued to execute extremely well on our Department of Energy project in Puerto Rico for our energy storage solutions and combined with a record quarter for ecobee sales, resulted in strong outperformance for this part of our business in the second quarter. Our ecobee team continued to add to their recent strong sales momentum and drove significant margin improvement compared to the prior year, resulting in positive EBITDA contribution through the first half of 2025. Additionally, the connected homes count for ecobee devices increased to more than 4.5 million residences during the quarter, with energy services and subscription attach rates also continuing to grow, contributing to a rapidly expanding high-margin recurring revenue stream. We view ecobee's premium feature set and user experience as a key differentiator within our growing residential energy ecosystem and further integration of our residential solutions with the ecobee platform will continue with every new product we launch. Importantly, we continue to expect ecobee to deliver positive EBITDA contribution for the full year as the team further scales these products and solutions. Shipments of our energy storage systems also increased at a dramatic rate during the second quarter. We are very pleased with the progress we've made in Puerto Rico through the first half of 2025 as this has enabled us to build strong relationships on the island, which is the second largest storage market in the U.S. behind California. In addition to our success in Puerto Rico, we began taking orders in the second quarter for PWRcell 2, our next-generation energy storage system, with first shipments of these products beginning earlier this month. We are also making very good progress toward the launch of PWRmicro, our new microinverter product line, which we anticipate will begin shipping during the second half of this year. The impact of the One Big Beautiful Bill Act on residential solar and storage markets has been well documented over the last several weeks. Despite the policy-related changes that will reduce or eliminate incentive structures for these products, we continue to view these technologies as important elements in the residential energy ecosystem we are developing that is focused on providing the kind of resiliency and energy savings that homeowners are increasingly demanding. The secular trends of rising power prices and declining component costs within the solar and storage markets provides an attractive long-term backdrop for these markets to further develop and grow as the overall economics improve, absent the incentives. That said, we believe the residential solar market, in particular, will contract in the years ahead. And as a result, we are evaluating the adjustments necessary to recalibrate our level of investment in these technologies as we are laser-focused on significantly improving the adjusted EBITDA contribution from the residential energy technology portion of our business in the coming years. Now let me provide some commentary on our commercial and industrial product category. Sales to our domestic industrial distributors increased again during the quarter given resilient end market demand and strong operational execution that drove further reduction in C&I product lead times. Project quoting activity and win rates in this important channel also increased on a year-over- year basis during the first half of the year. We do expect, however, year-over-year shipment declines to develop in the second half of the year given the continued reduction in backlog resulting from our accelerated production output in recent quarters. Shipments to our national telecom customers grew at a strong rate from the prior year during the second quarter as this channel continues to recover and is expected to deliver robust growth for the full year 2025. The telecom market remains a long-term growth opportunity for Generac given the secular trends of expanding global tower and network hub counts and increasing reliance on wireless communications that require much higher power reliability. Replacement opportunities within the telecom channel are also becoming more relevant given our large installed base of product and our long history of serving this market. As expected, shipments to our national and independent rental equipment customers remained soft during the quarter, and we continue to anticipate weakness throughout the second half of the year. Despite the current cyclical softness with our rental customers, we believe that this end market has substantial runway for growth given the critical need for future infrastructure-related projects that leverage our products sold into the rental equipment channel. Internationally, total sales increased 7% from the prior year due to higher intersegment sales and C&I product shipments in Europe, partially offset by softness in other international markets. Adjusted EBITDA in our International segment increased at a robust rate from the prior year, given the solid sales growth and favorable price/cost dynamics in certain markets. We expect the combination of recent order trends across multiple C&I product categories and the favorable impact from foreign currencies to drive continued year- over-year sales growth in the second half of the year. We also anticipate an incremental benefit beginning in the third quarter from the initial shipments of our new large megawatt generators to international data center customers. With respect to the important development project around our new large megawatt generators, these products are expected to enable a very significant incremental opportunity for the global C&I part of our business, particularly within the large and growing data center market. These mission-critical solutions are a necessary part of the substantial investment in data centers, which are enabling the accelerated adoption of artificial intelligence. Given the tremendous power requirements of increasingly large data center campuses, demand for backup power for these applications is expected to continue to grow at a dramatic rate for the foreseeable future. This rapidly growing demand for data center power infrastructure has resulted in market supply constraints for backup power equipment. Our highly competitive lead times and the strength of our reputation in the power generation industry contributed to the strong initial response to our formal entrants into this market during the second quarter, and we have quickly built a global backlog of more than $150 million for these applications, with momentum continuing to build around a growing and significant pipeline of new opportunities. We expect global shipments of these products to begin in the second half of the year with a large majority of our existing backlog to be realized in 2026. Additionally, further global market opportunities exist for these products within our traditional end markets, in particular, providing backup power for large manufacturers, distribution centers, health care facilities and other critical infrastructure that have higher backup power requirements. As we continue to ramp our capabilities for large megawatt generators with our expected annual production capacity sitting well above our current backlog, we believe that we are well positioned to take share in this market over time given our unique focus, which allows us to provide customized sales, engineering and aftermarket support while also providing data center customers with a robust service network to ensure uptime for these critical applications. In closing this morning, our second quarter results reflect strong execution in a dynamic operating environment with broad-based strength across our product categories. We will continue to lean into our core corporate value of agility as we navigate evolving market and policy conditions while maintaining focus on the significant growth opportunities that exist as we further execute on our enterprise strategy. The mega trends of lower power quality and higher power prices are being further supported by numerous underlying trends, providing incremental avenues for future growth in our business. And we firmly believe our portfolio of products and solutions is uniquely positioned to deliver value and protection to homes, businesses and institutions around the world. I'll now turn the call over to York to provide further details on our second quarter results and our updated outlook for 2025. York?
York A. Ragen: Thanks, Aaron. Looking at second quarter 2025 results in more detail. Net sales during the quarter increased 6% to $1.06 billion as compared to $998 million in the prior year second quarter. The combined effect of acquisitions and foreign currency had a slight favorable impact on revenue growth during the quarter. Briefly looking at consolidated net sales for the second quarter by product class. Residential product sales increased 7% to $574 million as compared to $538 million in the prior year. This growth in residential product sales was driven by a strong increase in shipments of energy storage systems and ecobee home energy management solutions. Portable generator shipments also contributed to this sales growth, while home standby generator sales were flat with the prior year. Commercial and industrial product sales for the second quarter increased 5% to $362 million as compared to $344 million in the prior year. Core sales growth of approximately 4% was driven by strength in shipments to our domestic industrial distributor and telecom customers as well as strong growth within Europe, partially offset by weakness in shipments to national rental accounts and other international markets. Net sales for the other products and services category increased approximately 8% to $125 million as compared to $116 million in the second quarter of 2024. Core sales increased approximately 6%, primarily due to growth in aftermarket service parts and accessories, ecobee and remote monitoring subscription sales and other installation and maintenance services revenue. Gross profit margin was 39.3% compared to 37.6% in the prior year second quarter, primarily due to favorable pricing and lower input costs, partially offset by unfavorable sales mix. The favorable price/cost dynamics were partly due to the timing differences between the realization of recent price increases and the higher tariff-related input costs. In addition, gross margins exceeded expectations for the quarter, partially due to a lower tariff impact relative to our previous guidance. Operating expenses increased $33 million or 12% as compared to the second quarter of 2024. This growth in operating expenses was primarily driven by higher variable costs due to higher shipment volumes, increased employee costs to support future growth across the business and ongoing operating expenses related to recent acquisitions. Adjusted EBITDA before deducting for noncontrolling interest, as defined in our earnings release, exceeded expectations at $188 million or 17.7% of net sales in the second quarter as compared to $165 million or 16.5% of net sales in the prior year. I will now briefly discuss financial results for our 2 reporting segments. Domestic segment total sales, including intersegment sales, increased 7% to $884 million in the quarter as compared to $827 million in the prior year, which included approximately 1% sales growth contribution from recent acquisitions. Adjusted EBITDA for the segment was $158 million, representing 17.9% of total sales as compared to $140 million in the prior year or 16.9%. International segment total sales, including intersegment sales, increased approximately 7% to $197 million in the quarter as compared to $185 million in the prior year quarter, including an approximate 1% benefit from foreign currency. Adjusted EBITDA for the segment before deducting for noncontrolling interest was $30 million or 15% of total sales as compared to $25 million or 13.6% in the prior year. Now switching back to our financial performance for the second quarter of 2025 on a consolidated basis. As disclosed in our earnings release, GAAP net income for the company in the quarter was $74 million as compared to $59 million for the second quarter of 2024. Our interest expense declined from $23.3 million in the second quarter of 2024 to $18.2 million in the current year quarter as a result of lower borrowings and lower interest rates relative to prior year. GAAP income taxes during the current year second quarter were $15.4 million or an effective tax rate of 17.2% as compared to $19.6 million or an effective tax rate of 25% for the prior year. The decrease in effective tax rate was primarily driven by a favorable discrete tax item related to an immaterial business disposition in the current year quarter. Diluted net income per share for the company on a GAAP basis was $1.25 in the second quarter of 2025 compared to $0.97 in the prior year. Adjusted net income for the company, as defined in our earnings release, was $97 million in the current year quarter or $1.65 per share. This compares to adjusted net income of $82 million in the prior year or $1.35 per share. Cash flow from operations was $72 million as compared to $78 million in the prior year second quarter. And free cash flow, as defined in our earnings release, was $14 million as compared to $15 million in the same quarter last year. The change in free cash flow was primarily driven by higher working capital and capital expenditures, causing a greater use of cash during the current year quarter, partially offset by higher operating earnings. We expect working capital to be a use of cash again in the third quarter as we continue to replenish portable generator inventories for storm season and prepare for our next-generation home standby product launch later this year. Additionally, we opportunistically repurchased approximately 393,000 shares of our common stock during the quarter for $50 million. There is approximately $200 million remaining on our current share repurchase authorization as of the end of the second quarter. On July 1, we amended and extended our existing term loan A and revolving credit facility, resulting in a new maturity date of July 1, 2030. This agreement updated the term loan A outstanding principal balance to $700 million and reduced the revolving facility borrowing capacity to $1 billion. In addition, the amendment eliminated a 10 basis point credit spread adjustment that was included in the previous agreement and also resulted in a more favorable pricing grid based on our leverage ratio. Quarterly principal payments on the term loan A will begin in October 2026, with a lump sum due at maturity in July of 2030. Total debt outstanding at the end of the quarter was $1.4 billion, resulting in a gross debt leverage ratio of 1.7x on an as-reported basis. With that, I will now provide further comments on our updated outlook for 2025. As disclosed in our press release this morning, we're updating our full year 2025 outlook, given our first half actual results driving increased visibility to expected full year 2025 net sales. As a result of our second quarter outperformance being mostly offset by lower pricing assumptions in the second half of the year, primarily due to lower-than-expected tariffs, we are narrowing our net sales growth guidance range while holding the midpoint of that range. In addition, we are increasing the low end of our adjusted EBITDA margin guidance range and raising our free cash flow conversion guidance for the full year 2025. This guidance includes the following important assumptions: we're assuming that current tariff levels that are in effect today stay in place for the remainder of the year. This includes 30% tariff levels for China compared to 145% assumed in our previous guidance and 20% tariff levels for Vietnam compared to 10% previously assumed. We continue to assume 10% reciprocal tariffs on all other countries and the continued qualification of USMCA for Mexico and Canada, consistent with our prior guidance. Incremental tariffs have also been levied against steel and copper imports since our previous guidance update, and we have assumed higher market prices for these metals in the second half of the year as a result. Finally, consistent with our historical approach, this outlook assumes a level of power outage activity for the remainder of the year, in line with the longer-term baseline average and does not assume the benefit of a major power outage event in the second half of the year, such as a major landed hurricane or major winter storm. Considering all these factors, we now expect consolidated net sales for the full year to increase between 2% to 5% over the prior year, which includes an approximate 1% favorable impact from the combination of foreign currency and acquisitions. This compares to our previous guidance of 0% to 7% net sales growth over the prior year. We now project full year 2025 residential product sales to be slightly lower compared to our previous expectation, given lower assumed tariff-related pricing in the home standby category. We also now project full year 2025 C&I product sales to be modestly higher compared to our previous expectation, given second quarter outperformance and favorable foreign currency rates relative to our prior forecast. As a result, we now expect residential products and C&I products net sales growth to be more level loaded for the full year 2025 relative to our prior expectations. From a seasonal pacing perspective, we expect third quarter overall net sales to be slightly ahead of the prior year with fourth quarter overall net sales approximately flat versus the prior year. Recall that the prior year periods included the benefit of multiple major outage events, which results in a strong prior year comparison, in particular for residential products. Looking at our updated gross margin expectations for the full year 2025, we now expect gross margin percent to increase approximately 50 to 100 basis points compared to the full year 2024, coming in at approximately 39.5% at the midpoint. This represents an increase from our prior expectation of approximately 39.0% due to our second quarter outperformance and lower tariff assumptions related -- relative to the prior guidance. Turning to our adjusted EBITDA margin expectations for the full year 2025. Given the factors I outlined in our net sales and gross margin update, we are increasing the lower end of our guidance range for adjusted EBITDA percent to approximately 18% to 19% compared to our previous guidance range of 17% to 19%. In line with normal seasonality, we expect third quarter adjusted EBITDA margins to improve 150 to 200 basis points sequentially from the second quarter, given the projected significant operating leverage on seasonally higher sales volumes. Additionally, we are raising our free cash flow conversion forecast given the impact of the One Big Beautiful Bill Act on our federal income tax payments. Given the favorable tax impact of immediate expensing of research and development costs and bonus depreciation on certain capital expenditures, we now expect free cash flow conversion from adjusted net income to be approximately 90% to 100% for the full year 2025 as compared to the previous guidance range of 70% to 90%. Importantly, this would result in over $400 million of free cash flow in fiscal 2025, which provides for further near-term optionality within our disciplined and balanced capital allocation framework. As is our normal practice, we're also providing additional guidance details to assist with modeling, adjusted earnings per share and free cash flow for the full year 2025. For full year 2025, our GAAP effective tax rate is now expected to be between 23% to 23.5%, a modest decrease from our prior guidance of 24.5% to 25% due to the second quarter outperformance. Our GAAP effective tax rate for the remaining 2 quarters of the year is expected to be approximately 25%. Importantly, to arrive at appropriate estimates for adjusted net income and adjusted earnings per share, add-back items should be reflected net of tax using our expected effective tax rate of approximately 25%. We continue to expect interest expense to be approximately $74 million to $78 million for the full year 2025, assuming no additional term loan principal prepayments during the year. This contemplates a lower interest rate due to our recent amend and extend transaction, mostly offset by modestly higher outstanding borrowings. This guidance is a significant decline from 2024 interest expense levels due to a decrease in outstanding borrowings and the full year impact of lower SOFR interest rates. Our capital expenditures are still projected to be approximately 3% of our forecasted net sales for the full year, in line with historical levels. Depreciation expense, GAAP intangible amortization expense and stock compensation expense are also expected to remain consistent with last quarter's guidance. Our full year weighted average diluted share count is expected to be approximately 59.4 million to 59.5 million shares as compared to 60.3 million shares in 2024. Finally, this 2025 outlook does not reflect potential additional acquisitions or share repurchases that could drive incremental shareholder value during the year. This concludes our prepared remarks. At this time, we'd like to open up the call for questions.
Operator: [Operator Instructions] And our first question will be coming from Tommy Moll of Stephens.
Thomas Allen Moll: Aaron, on the recent entry into the data center market, it sounds like things have gone pretty well so far, but I just wanted to ask for anything else you can give us there. When could these revenues start to be meaningful? Are the lead times for some of the incumbents there still as extended as they have been in recent years? What have you learned so far?
Aaron P. Jagdfeld: Yes. Thanks, Tommy. So yes, I mean, that -- this has been something we've been talking about for the last few quarters, the entry into this market and something, frankly, we've been working on for a couple of years. We haven't been talking about it much because we wanted to get to the finish line. But -- it will begin to impact revenues this year in the second half. Our initial shipments in the international market will start in Q3. And then very late this year, we'll start to get our first domestic shipments out to those customers. But not much of an impact this year. It's really a 2026 story right now. What we're being told, and this is just kind of -- to kind of size the opportunity for us anyway because I think this is, by far and away, one of the biggest needle-moving opportunities that I've seen in my time here in my 3 decades with the company, just both in the size of the market opportunity that data centers, in particular, present, but also obviously, the growth rate there. And the fact that this feels like something that's going to go on for a long time. You combine that with the structural deficit in the availability of these backup power products. In our early conversations here over the last several months, nearly every data center developer, operator owner, end customer has told us that there are 2 major components that they worry about in the lead time for construction of new data centers. The first is transformers and the second is backup generators. And so what we've learned, to answer your question, is that we believe, based on our conversations that there appears to be about a structural deficit just in 2026 of something on the order of maybe 5,000 machines based on current capacity in the market and based on current construction completion time lines for the projects that are underway for data centers. So obviously, 5,000 machines is a lot of machines. If you look at kind of on the high side, every single copy of every machine would be about $1 million all in. So it's a huge -- one, it's a huge market just being served on an annual basis today, much greater in size than anything that we've ever approached. And two, the structural deficit that's there, I think, will allow for a pretty rapid entry for us into the market. I'm shocked at the over $150 million that we've already booked in hard orders and the size of the pipeline that we're cultivating in this market. We've been very well received with the -- not only just the product, but I think our brand, our reputation, the quality of our distribution, the quality of our balance sheet, frankly, the ability to stand behind these products in these very critical applications. I think we've been very well received initially here. Now we've got to deliver and we've got to execute. So it's not -- we're not -- this isn't a layup by any stretch of the imagination, but we're taking this very seriously. We do have good capacity to grow in the next year or so. But given the kind of situation that this market is facing from a structural deficit standpoint in terms of supply versus demand, we believe that based on our early -- the early learnings here and then our early success, we are going to have to make some potentially bold moves around additional capacity if we want that to be available for 2027 and beyond. We think we're in really good shape for '26 and really probably even -- for parts of '27. But given the size of the deficit that 5,000 machines just for next year, we think there's real opportunity for us if we lean into this and be aggressive. Again, like I said, I don't -- I've never seen something that can move the needle like this. I think if we do things the right way, I think this part of our business, which has always been a good solid business, right? It's over a, call it, a $1.5 billion opportunity today. That's the size of the C&I products part of our business. That's something that I think can grow dramatically in the next several years. And this -- we could be in a situation in several years where the C&I products are larger than the rest of the company. And so I think it's -- this is just an exciting time and something that we're going to lean into. And it's a global opportunity. I think that's the other exciting piece of that, good add.
Operator: And one moment for our next question, which will be coming from George Gianarikas of Canaccord Genuity.
George Gianarikas: I'd like to concentrate on some of the comments you made around ecobee and the solar market opportunity. There's -- at least to me, it appears to be a little bit of a change in tone here around your willingness to continue to invest in the inverter market over the long term, over the medium term. I was just wondering if you could sort of paint a broad brush and help us understand a little bit around how you might be changing your philosophy around those markets? And maybe just update us on what the dilution was from the clean tech business during the first half of the year.
Aaron P. Jagdfeld: Yes. Thanks, George. So I don't know if it represents a change in tone, perhaps. Maybe that's the right way to characterize it. Let me say what hasn't changed. And I think the comments we wrote, the specific commentary was we're laser-focused on reducing the drag on earnings from this business, i.e., we want to get it to be in positive territory. We will get it to be in positive territory. Now we have to obviously recalibrate if the overall market size for solar in particular, if that's going to decrease in the years ahead, and it's likely that it will. The question is how much, right? I think there's still some things that need to be vetted and understood as the One Big Beautiful Bill kind of now moves from being passed as legislation into kind of interpretation by treasury and what happens there in terms of the actual impacts to the market. But clearly, the market is going to contract for solar. It's just -- is it going to contract 20%? Or is it going to contract 50%. So -- but take a range, maybe it's 20% to 50%. We believe that, that market, if you just step back, has been heavily impacted, obviously, by the incentive structures over the years. It's been distorted. That's the word we keep using internally here. It's a market that's been -- frankly, this is one of the major problems you run into in terms of distortions that can happen in markets when you have subsidization for as long as you've had with this market. And the changing kind of time lines around those subsidizations, the changing quantums of those subsidizations. We actually believe the elimination of subsidies for solar is a good thing for the market. In the long run, it will help this market grow -- structurally grow in a way that normal markets grow. Right now, it doesn't look anything like a normal market. In fact, you can look at how a typical solar system is transacted. That transaction almost looks like nothing else on the planet in terms of how it's structured, the financial engineering, the craziness around it. And I think a lot of that has had a negative effect actually on the underlying structural integrity of the market in terms of -- it's had kind of a distorted effect on the overall ASP for a project. I think the ASPs for projects are higher. There's a reason that they're considerably higher here in the U.S. than they are in Europe. And I think a lot of that has to do with the -- just the amount of subsidization, the amount of incentives that go into that and the structures that come out of those transactions with tax equity structures and other elements. I think if we get rid of all of that, over time, what will be laid there is a market that can work. You can see what's going on in Europe. It works. Power prices are going up. You can look at your own power bill, look at your neighbor's power bill, look at power bills across the country. This is, without a doubt, a story that's underreported. We can talk about power outages all we want. But at the end of the day, the cost of power is going up, and there's lots of reasons. People can pick their reason and it differs by utility, it differs by region, it differs by type of customer. But at the end of the day, your power costs, my power costs have gone up over 30% in the last 5 years and are expected to double in the next 10 or greater. You're already seeing this play out in parts of the country. As power costs increase and as the cost of these technologies, i.e., solar, storage, energy management, all of these technologies continue to come down rapidly in cost. They have done that over the last couple of decades, and they will continue to do so. You can get to economic outcomes there that are very beneficial to homeowners and businesses by installing solar even without the incentive structures. And that, I think, is where this ultimately lands. Now there's going to be a couple more years of noise here as the incentives taper off, you're going to have some pull forward of demand with safe harboring maybe in the second half of this year. And all of that has to wash through the system. But for us, we think that solar and storage are still important technologies in a residential energy ecosystem and parts of that. Now they're not the only parts, okay? We believe EV charging is going to be going to play an important role. We believe that energy management with the ecobee products are going to play an important role. We believe generators are going to play an important role in the energy ecosystem. All of this linked together is how we're going to keep homeowners and businesses resilient, and we're going to help them save money on their power bills. We're going to give them a lot more independence going forward. It's going to take time to build that out, but we are not going to continue to lose money on this business in perpetuity. We've said that. The drag on this, I think, York, for the first half of the year was about...
York A. Ragen: First half, 300 to 400 basis points. But overall, for the year, it's call it, 300 to 350 for the full year.
Aaron P. Jagdfeld: Yes, that's our expectation for the full year, but continuing to improve. We've seen that improvement already in ecobee, and we're going to continue to see that in the rest of the business. Now we'll adjust our spending, right? If the market is smaller, we're going to have to adjust the level of our investment, recalibrate our investment. We got a lot of new product coming to market this year. We won't have a lot of that new product cost, if you will, the development costs will start to taper and we'll go more into a sustaining mode on those new products going into 2026. So I think we're in a good place to make the recalibrations that we need to make there. But we are still committed to this being part of an energy ecosystem, we think, is an important element for us to plant the flag in going forward here at the company.
Operator: Our next question will be coming from Mike Halloran of Baird.
Michael Patrick Halloran: Aaron, can you just continue that train of thought then? What does the next, call it, 12 to 18 months look like as far as the iterations go for how you get that back to kind of a neutral profitability level, the clean energy piece? What are the types of things you're thinking internally? What's that time line look like? And is this the clean energy piece specifically? Or does that include ecobee, which -- correct me if I'm wrong, but that is already at a profitable level. So is that the net of the 2? Or is that exclusive of ecobee?
Aaron P. Jagdfeld: So yes, no, correct, Mike. Ecobee is profitable year-to-date, and we expect to be fully profitable for the year. It's done -- that team has done an outstanding job. And the growth rate there has been fantastic. It's a huge part, obviously, of our whole energy technology business when you look at it together. The big kind of drag remains in what we refer to as our clean energy products, which are the storage products, the solar products where we've had very heavy development cycles ongoing to bring these new products to market. And as I said kind of on the previous commentary, those new product cycles or new product introduction costs and those cycles should start to taper as we get these new products into market. So PWRcell 2, which is our new storage device, just started shipping here earlier in July. And our PWRmicro, our new microinverter product line is going to hit the market later this year. So the development cycles are starting -- we're getting in the final innings of the development cycles, and that's where a lot of the spend has been. Now transitioning that spend over to support, right, and sustaining efforts is -- was kind of the next phase anyway. And so that was already kind of in the plan. And obviously, though, if the market is smaller, you won't need as much support, you won't need as much in terms of sustaining in theory. And so I think there's an opportunity there to look at recalibrating that depending again on where we think the market is going to be. The answer to your question directly over the next 12 to 18 months is difficult because we don't know where the market is going to be over the next 12 to 18 months. That's a piece that we're still kind of -- we're vetting out. We want to get a very clear understanding of where it's going to go. We know it's going to contract from current levels. And by the way, current levels are depressed. I would just point out that current levels are also depressed, though, because of 2 factors. One, you had the change in the net metering rules in California from net metering 2.0 to 3.0, which had an impact -- a negative impact on the market. Now that's largely started to wash through. But the second kind of effect that's been depressing the market is high interest rates. And I think it's -- you could make a case that it's more likely than not that interest rates are going to go down as opposed to up in the future, which should provide a backdrop for a bit stronger market dynamics, all things equal, in these -- in the clean energy types of products. So I do think the market is going to contract. There's no doubt. We're going to recalibrate spending. We are still targeting -- we had said at our Investor Day a couple of years ago that by 2027, this was a profitable area for us. That's still a focus for the company. We think that we've got to find a path to do that. Ecobee certainly has done their part. They are well on the way. In fact, I would say they're ahead of plan in terms of where we're coming out there, which is great. Now we've got to turn our attention to the rest of that part of the business. And again, like I said, we're super excited about the new products we've got coming to market and the receptivity we've had with our early discussions with the solar channel, in particular. And we've got to see where the market kind of shakes out here, the overall market in terms of a forecast for 2026 in particular, but also as we think about the next 3 years.
Operator: And our next question will be coming from Jeff Hammond of KeyBanc Capital Markets.
David Edmund Tarantino: This is David Tarantino on for Jeff. Maybe on home standby, could you give us more color on the underlying trends here and how we should expect the category to progress through the rest of the year, particularly around what the dealers are telling you around the demand afterglow from the outage events last year and how inventories look in the channel?
Aaron P. Jagdfeld: Yes. Thanks, David. So on home standby, it's pretty -- what's really amazing about home standby is outages have been kind of light here in the first half of the year. We had a great second half of the year, obviously, in terms of outages, very active. Not great, of course, if you experience those and some of the reasons why you experience them, but we're there to help our customers with our products. And we had a very active second half of last year. That as we would normally expect, right? We've always said 6 to 12 months of afterglow, if you will, from those big events. And that's really kind of played out here. In the first half of the year, installations of products are up year-to-date, which is great. They were up in the second quarter. So they -- we're kind of holding on to that new and higher baseline. We continue to add dealers, which I think is always one of those things that we watch very closely is the pace at which we continue to add dealers has remained robust. IHCs were down in the quarter, but you would expect that with lower outages. Seasonally, the second half of the year is really important, right? So no doubt, we're watching with great attention to what happens in the second half of the year. We don't have -- just remember, we don't put any major events in our guide, which -- so we're guiding our -- that business, that part of our business, we're guiding to a baseline level of outages, which is generally significantly lower, particularly in the back half if you do get major outages. So I would tell you that it's almost like there's a free option there on home standby if we do get some kind of event in the second half. And we've always said those events are between $50 million and $100 million impact. We saw that play out pretty much on point last year. And we would say that, that would probably be the situation again this year. I might say the only difference might be -- we've done a really nice job in portable generators. We've got a new team there that's leading that business, that part of our business, those products. And they've done a great job getting some really major wins at some incredible retailers and expanding our shelf space. So we're feeling really good about where we sit from a market share standpoint in portable gens. So if we were to get some major outages, we might actually have a nicer tailwind there. We're going to be set from an inventory standpoint. It's a little bit of the cash flow in the quarter in terms of our working capital needs in Q2 were driven by kind of replanning portables a heavy storm season from last year, but also getting ready for this year's storm season and the fact that we've got increased placement with our -- in the retail channel with those products. So what the market is telling us around home standby, though, is and it's always been kind of a regional story. So the Southeast remains pretty robust, right, coming out of last year. The activity there is great. There are other parts of the country where it's weaker because we haven't had the outage activity. But I think if you stand back and you look at it on a whole and you look at kind of the home standby business or the products there as a segment or as a group, it's been incredible how it continues to grow. And after every one of those major events like we had last fall, it holds on to that higher baseline level, and it grows from there. Now it might be slower growth for a little bit of time here until we see another inflection point with more outages, but it's an incredible part of our business in terms of the ability to grow that business on the back of outage -- high- profile outage events and then to hold on to that growth and move from there. So really pleased with kind of how that business has continued to pace.
Operator: Our next question will be coming from Brian Drab of William Blair.
Brian Paul Drab: Can you just talk about pricing -- so we had the 7% to 8% increase, I guess, in March and I know you said that it had some positive impact on gross margin. But how is that received overall in the market? Any effect on demand? And how are you adjusting your plan for pricing on the new product line given how tariffs have evolved?
Aaron P. Jagdfeld: Yes. Thanks for the question, Brian. So pricing, obviously, a dynamic environment we're in. We're all kind of glued to the 24-hour news cycle here on where these trade agreements are coming out. It sounds like the administration is making progress here. It's slow going. Obviously, these are major deals, and it takes time to get these deals put together. But I think in the end, we put price into the market in response to what we understood the tariff environment to be. Those were effective, I think, at the beginning of April. That was roughly the 7% to 8%, Brian, that you referenced there. That's -- and I'm talking specifically now about the home standby impact there. Did not see much material impact on demand. We did -- just to remind you, we had -- our updated guidance at the time did contemplate some demand destruction on higher price for the remainder of the year. So there is some demand destruction that we built in. And I think we've largely, based on our results, I think it's kind of played out the way that we saw it playing out. The second part of your question, kind of where are we going from here? So we have a new product line coming out in the second half of the year. It's our next-generation home standby product line, which is -- it's phenomenal actually. The product itself is just so far advanced from even the existing platform and so far ahead of where the market is at today. We're super excited about that. There is a bit more cost in that product with some of the feature sets that we've added, which is good, but that will require some additional pricing adjustments. And of course, we've got some new -- we've got additional knowledge on the tariff -- the trade deals that have been inked so far and where we're sitting. So there's probably -- as we release product into the market, we just announced the availability of our new 14-kilowatt and 18-kilowatt units. That's the first part of the new product line to be released. Those just went on order here this week, as a matter of fact, early this week. the order book opened on those, and we'll begin shipping those next week. And those contain a price increase somewhere in the -- depending on the SKU and the mix, 5% to 7%, call it, of additional price that will go in related to that kind of, again, mostly because of the additional feature sets that we're including with the products, but there's a little bit of kind of rebalancing with some of the tariff information that is now known that wasn't known back when we did the last round of pricing in April. We still have a good chunk of the product line to be released here in the second half of the year, our larger nodes. So everything from the 20-kilowatt nodes all the way to the 28-kilowatt nodes, which represent an important part of that product offering. And so we haven't released pricing on those nodes yet. So we'll continue to watch the tariff environment. We may have to go back and touch pricing again on the 14s and 18s if something changes, but probably not material at this point. It's probably small. So we feel pretty good about where we're sitting with respect to pricing. And again, the demand destruction, if you want to call it that, that may have occurred, we think that played out largely in line with our guide.
Operator: Our next question comes from Mark Strouse of JPMorgan.
Mark Wesley Strouse: A couple of questions. Going back to the data center opportunity. Can you just kind of talk about the backlog you have so far in the initial conversations that you're having, are those with kind of larger hyperscaler type data centers? Are they more traditional data centers? Any color there you can provide? And then going back, Aaron, to your comments about potentially expanding capacity, can you just talk about kind of looking at your footprint, looking at your supply chain, other factors that go into that, how -- I don't want to use the word easily, but how quickly can that be done? And can you talk about the CapEx requirements, if you're going to double capacity, triple capacity, whatever it ends up being, how we should be thinking about that?
Aaron P. Jagdfeld: Yes. Thanks, Mark. So just on the pipeline, our opportunities include both the, I would call it, traditional data center owner operators as well as hyperscalers. But the -- where we're getting traction is with the hyperscalers because they are -- their power needs are greater. And frankly, that's where the biggest part of the deficit in the market seems to exist is around those. But it's a market-wide deficit in terms of supply versus demand. So we're seeing those opportunities manifest across the board. But we are having -- I would say some of our more interesting conversations are with the hyperscale side of the business. And we're not just talking about 2026 planning with these customers. We're talking about '27 and beyond at this stage because they're planning out. Obviously, they're trying to lock up supply further out, and they're out '27, '28, in some cases, 2029, the conversations are out. So then the second part of your question on footprint. So we have 9 facilities around the world that are capable of producing commercial and industrial products. And so we have 3 here in the U.S. We have 1 in Mexico, 1 in Brazil, 1 in India, 1 in China. We have a facility in Italy and a facility in Spain. I think that's 9, if I did my math right. And so those facilities are capable of producing C&I products. Not all of them are capable of producing the large megawatt products. But what I would say is by expanding capacity in the midrange of our products, we're able to create additional capacity opportunities for large megawatt. I'll give you an example. Here in North America or here in the U.S., we just opened a new plant here in Wisconsin. Our biggest plant in the U.S., 345,000 square feet in Beaver Dam, Wisconsin. We just commissioned that plant back on April 1, cut the ribbon on it locally here just this past last week. And so that plant is operational. What that plant allows us to do, it's focused on our midrange gens sets up to -- basically up to 1 megawatt. And so that's going to be more of our traditional market, end markets like telecom and some of our traditional backup markets. But what it allows us to do is take product that we are currently manufacturing, those higher output products that we're currently manufacturing in one of our other facilities nearby, Oshkosh, Wisconsin, and free that facility up to be focused not quite 100%, but close to the opportunities that exist with these large megawatt units. And so by the very nature of that, we've added a lot of capacity in the system by bringing this new plant on, even though the new plant wasn't maybe aimed directly at the large megawatt product. That plant that we just brought online is about a $65 million to $70 million investment all in. So as we think about -- and it took us about 15 months to bring the plant down, 12 to 15 months depending on -- it's pretty -- actually closer to 12 months than 15 to bring it up to speed and to get it constructed and get it going. So as we think about the future, and again, 2026, we're fine. We got plenty of capacity. We're well over the $150 million backlog we've got, and we're going to get orders of magnitude over that in terms of what our raw capacity is globally for these large systems. But when we think about the opportunity that exists for '27, '28 and beyond, I want to get ahead of this, and I want to get ahead of it now. And so we're going to have to take and make some big bold bets on additional capacity. And that could come through organic efforts. We could build some factories, we could buy some buildings. We can do some things there that are, frankly, in our wheelhouse in terms of -- again, I referred to this in my prepared remarks, but our core corporate agility, one of them is -- our core corporate value is agility. We just move fast at the company. We know how to do that. We're comfortable with that. It's a legacy of serving kind of -- honestly, it comes from our residential side of our business. It's a legacy of being able to react to exogenous events that happen. We think that our supply chain, we've got great partnerships built in the supply chain for these large megawatt units, and they are prepared -- they've got a lot of capacity already. They're prepared to add more. What we need to do is continue to look at all elements of the value chain there end-to-end to make sure that there are not other constraints that exist. And if there are, how do we solve for them. So this is going to be an all-out effort by the company to figure out how we grow this segment of our business very, very quickly in the years ahead. And it's going to come -- we're going to need to invest. The good news is we've got a really great balance sheet. We generate a lot of cash flow. We generate $400 million this year. So...
York A. Ragen: We've got ahead of steam.
Aaron P. Jagdfeld: And we've got ahead of steam, yes, in terms of our momentum going forward here, so with our backlog. So we feel like we're well positioned to -- maybe you want to call it a rotation of investment, somewhat out of some of the energy technology things we've been focused on and into the C&I opportunity, which we just want to -- we just think we can win there with our approach. So super excited about that.
Operator: And our next question will be coming from Keith Housum of Northcoast Research.
Keith Michael Housum: Hoping you guys could perhaps just dimensionalize a little bit the current industry capacity for these data centers. You mentioned a deficit of about 5,000 devices. How much can the market do today? And then perhaps what is your capacity? Is it $300 million, $400 million as you guys currently have it built?
Aaron P. Jagdfeld: Yes. Thanks, Keith. So the overall market size, again, there's a lot of moving pieces there, but it's significantly above the 5,000 deficit, obviously, but it continues to evolve. And a lot of that is going to be -- it's going to be defined by how quickly the data centers can come online. One of the challenges that still has to be solved by the data centers is the ability to connect to the grid, right? So what we're seeing, and I think what you -- for those of you who track some of the companies in the marketplace that provide different solutions for what we refer to as bridge power, right? Maybe unique solutions, individual solutions that can create a somewhat independent almost micro grid, if you will, for a data center site so that they can operate independent of the grid and they can stand up that data center and bring it online more quickly. Those solutions are also -- there's capacity constraints within those solutions as well. So a lot of the overall size of the market is being dictated by how quickly can these data centers be put into service, either by connecting to the grid or through their self-sufficiency with some kind of bridge power solution until they can connect to the grid. So it's a moving number. It's a moving target. Again, the 5,000 deficit that we referenced is kind of based on what the individual market participants have told us that they believe and not market participants in terms of gen set participants, but the customers for data centers, what they believe to be a deficit in the market. So they're not telling us how big the whole thing is. They're just saying they believe there's -- there are thousands and thousands of units short here even for 2026. Our own capacity, just kind of looking at what we think we can do in terms of capacity for next year, I think it's easily north of $500 million in terms of what we have as capacity today based on the 9 facilities we have, based on bringing Beaver Dam online here this year and also some expansion that we're doing, investing in some areas in some of our other plants to allow them to do even more to expand their capacity of large megawatt product in particular, either through additional test capacity, which is generally the constraint or through some of the other production capacity. What we need to do is size that with our supply chain as well. We think right now, our supply chain could keep up with that. But this is where I think real quick -- very quickly, you think about $500 million, I mean, that's 1/3 of our entire C&I business today. So I mean, it's -- again, I keep using the term needle moving because that is truly a needle-moving opportunity. But the good news is we've got good capacity in place. We've got, as York mentioned, momentum with our backlog, and we're willing to commit to additional capacity as the market grows and as our participation grows alongside of it.
Operator: Our next question will be coming from Dimple Gosai of Bank of America.
Dimple Gosai: I appreciate the time today. You raised EBITDA margins to 18% to 19% from 17% to 19% previously. My question is what's driving the confidence in margin expansion, right? How much of this is due to structural improvements, say, in input costs or temporary tailwinds from mix pricing as opposed to uplifts from tariffs, right? And how sustainable are these margins into 2026?
York A. Ragen: Yes. No, I think we've been -- our gross margin performance has been quite strong, I would say, for the last 4 quarters. So we've demonstrated that we can execute on strong gross margins. So that alone gives us confidence that, that can continue on. Now from a tariff standpoint, the market has absorbed the pricing. And you can see from our Q2 performance that we were able to withstand that. We believe in the second half, we'll continue that. We've got confidence that the impact of tariffs will get offset by price, and that will allow us to hold those strong margins. And I think the increase from our prior outlook is just a function of holding those margin dollar levels on slightly lower sales on slightly lower pricing. So that alone will drive your margins up. But what we've seen today is we believe we can offset those tariff impacts.
Aaron P. Jagdfeld: And I would say -- I would add to that, Dimple, that when you think about longer-term margins, again, as we continue to focus on reducing the drag from some of the energy tech products that we talked about earlier. And then if we -- as that C&I business begins to rapidly grow, the leverage that we're going to get from that growth is going to also be, I think, a positive overall for our margins. So the combination of those 2 factors as well gives me confidence longer term that our margins have opportunity to continue to expand. I mean we had laid that out also at our last IR event. We were targeting higher margins even than where we're operating today. We believe that, that is still very achievable. And that's even kind of before we get to some of the potential opportunities within the data center market that we've been talking about this morning.
York A. Ragen: And definitely on the EBITDA line, definitely.
Aaron P. Jagdfeld: On the EBITDA line...
York A. Ragen: Yes, the operating leverage on the EBITDA line will be large.
Aaron P. Jagdfeld: Absolutely.
Operator: Our next question will be coming from Sean Milligan of Janney.
Sean Michael Milligan: In terms of the data center piece, you just kind of hit on it, but I was trying to understand how we should think about margins for that book of business. Are they -- I guess, both from a gross and the EBITDA side within the C&I piece, like are they going to drag that margin profile higher over the next couple of years also?
Aaron P. Jagdfeld: I think at the gross margin line, if you just look at those projects on their own, they don't look tremendously different than our C&I product margins. They're maybe a little bit softer than that on a percentage basis, but actually, they're quite a bit stronger than our initial business case going into this market presented. We thought that those percentages would be more challenging and they would be potentially dilutive at the gross margin line. I don't necessarily see it happening that way with C&I products now, given where -- because of the structural deficit in the market, pricing of those products to the market has gone up from our initial business case and is putting us in a place with gross margins on those products that look a lot more like our traditional C&I products. And as a result, and even if we were to do the business case that we -- if we were talking about the business case we originally had, we were going to see accretion on the EBITDA margin line because of that leverage. We're going to see -- it's going to work out even better now because the gross margins also will be stronger than we had initially planned for, and you'll get the leverage on the operating leverage at the EBITDA margin line. So net-net, Sean, I think it's -- this is, again, where kind of my previous answer to Dimple's question, why I've got confidence that our EBITDA margins can continue to expand in the future is, in particular, on the back of what we're looking at doing here in data centers.
York A. Ragen: Even on a consolidated basis.
Aaron P. Jagdfeld: Even on a consolidated basis.
York A. Ragen: Maybe slightly -- maybe dilutive on the gross margin line on a consolidated basis, but accretive to...
Aaron P. Jagdfeld: Absolutely accretive on a consolidated basis, EBITDA margin for sure.
Operator: One moment for our next question, which will come from Joseph Osha of Guggenheim Partners.
Joseph Amil Osha: I'm wondering if you could talk a little bit about your diesel sourcing strategy. I'm wondering whether for starters, that supply chain is showing some signs of stress as well given how busy data centers are and also how you're thinking about where you might procure and in particular, what your opportunities are outside of China?
Aaron P. Jagdfeld: Yes. Thanks, Joe. It's a great question because obviously, at the heart of every one of those machines is what we refer to as a large bore diesel engine that produces the kind of output that is required in each of these machines. And these are engines that they've been around a long time, but they've been -- and they've been used in power generation in the traditional market sense. But typically, you see them in rail, you see them in mining, you see them in marine in those larger power applications. When you look across the planet, there are a handful of manufacturers of these large diesel engines. And a couple of them are very well known, Caterpillar, Cummins, and they also have very well-known power generation divisions or groups that are leading the charge forward on kind of serving the data center markets. But that's where the constraints lie. And for them, they both Cat and Cummins have announced expansion plans for capacity in those diesel engine -- in the diesel engine production capacity that will come online in the next several years. And that's somewhat unique for them because normally, those markets, the primary markets of rail, marine and mining can be cyclical, right? And in the past, I think the reticence to add capacity in those large bore diesel engines for manufacturing capacity, it's expensive. And so it's a capital-intensive -- a bit expensive to add capacity. So typically, they've kind of, I think, held the line on doing that and just waited for markets to roll over in terms of cycles. But this time, I think they all view it differently, I think -- which is actually a very bullish sign. I think overall that there's a belief that this part of the market is going to run for a lot longer and is going to be relevant in a big way going forward and is worthy of making that next level of capacity investment. That said, our supply chain, Generac's, we've worked very hard over the last few years to put a deal together with a supplier there that is not new to the market, but maybe new to the U.S. market. And so we've been working with that partner to get those products qualified for U.S. certification. They were qualified last year for use in Europe. And that's why our European team is maybe a quarter or 2 ahead of where we're at here in the U.S. and the products are now qualified for duty here in the U.S. market. It's a world-class manufacturer, and they have a tremendous amount of capacity, and they have a very large appetite for additional investment. So we feel that we're paired there with a very confident supplier and one that is going to give us a lot of room to run in terms of with this initial foray into the market. One of the major reasons why we've been successful is we've been able to quote considerably shorter lead times than where the market is at, maybe half the lead time of the market today. And that's great. But that's not what you build a business on. We've got to build a business on a reputation that states by our performance as well, performance of the equipment itself, but also the uptime of the equipment and our ability to serve and support those customers in a way that we think we know how, given our long history in serving some areas like telecommunications, as an example, on a direct basis. So we think our supply chain is in really good shape there, Joe. We think we've got the right partner. And again, I think we're poised for some significant growth.
Operator: I would now like to turn the conference back to Kris for closing remarks.
Kris Rosemann: We want to thank everyone for joining us this morning. We look forward to discussing our third quarter 2025 earnings results with you in late October. Thank you again, and goodbye.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.